Operator: Good morning everyone. Thank you for holding and welcome to the America's Car-Mart first quarter 2009 conference call. The topic of this call will be the earnings and opening result's for the company's fiscal quarter ended July 31, 2008. Before we begin, I would like to remind everyone; this call is being recorded and later will be available for replay for the next 30 days. The dial-in number and access information are included in the morning's press release, which can be found on America's Car-Mart website at www.car-mart.com. As you all know, some of the management's comments today may be forward-looking statements, which inherently involves risks and uncertainties that could cause actual results to differ materially from management's present view. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The company cannot guarantee the accuracy of any forecast or estimate, nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Item 1 of Part 1 of the company's Annual Report on Form 10-K for the fiscal year ended April 30, 2008. Its current quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. Participating on this call this morning are Skip Falgout, Car-Mart's Chairman of the Board; Hank Henderson, the company's Chief Executive Officer and President; and Jeff Williams, Chief Financial Officer. Now, I'd like to turn the call over to the company's Chairman of the Board, Skip Falgout.
Skip Falgout: Thank you operator and good morning everyone. We are pleased to announce this morning that we reported net income of $5.3 million or $0.45 per diluted share for the first quarter of fiscal 2009 versus $2.1 million or $0.18 per share for the prior period quarter. Importantly retail unit sales increased a strong 25.8%, with 7,353 vehicles versus 5,847 vehicles last year on essentially the same store base, 92 stores versus 91 stores. On the credit and collection front, we also showed significant improvement, as our accounts over the past 30 days decreased to 3.6% versus 4.1% at July 31, '07. Our provision for credit losses decreased to 20.9% of sales in contrast to 21.8% for the prior year quarter. Jeff has additional credit information. We'll have some background of the percentages in just a minute. I want to speak briefly to address something that we're seeing quite a lot about in the financial press and TV, radio and print; and that is the issue of slow automobile sales. As a matter of fact, Hank just showed me the Wall Street Journal today about slow sales, and it's in the news. While it's very true the new car sales in recent model-year used car sales are down as indicated by all the recent public announcements and research reports covering the major auto retailers. Our sales are up. Why? Well first, we sell basic transportation in markets where there isn't much competition on how a person gets from point A to point B. There is no significant public transportation. Second, we offer quality vehicles and importantly we offer affordable financing to folks that otherwise may have difficulty buying a car. These are folks that for whatever reason have personal credit issues and aren't part of the traditional auto lending universe, and as we all know that universe has constricted in recent months with the turmoil in the credit markets. Third and most importantly; we just do a better job and offer a better value proposition to our customers than our rather limited mostly local or regional competitors. With the operational improvements we have made over the last year and a half acquiring better and more diverse inventory at reasonable prices, better underwriting, sales efforts and collections, we are a better company offering a better customer experience. We know it, our customers, our potential customers know it. So we continue to sell more vehicles to an ever growing number of our core customers. Those families and individuals that for the most part will be paycheck-to-paycheck as evidenced by over 30% repeat customers in which percentage by the way is much higher at older dealerships. We are also poised to attract and sell vehicles to people slightly above our historical customer base as they recognize Car-Mart as the place to go to purchase and finance a quality used vehicle as they are squeezed out credit upstream. Obviously, this business is not all about sales. In fact it's really more about credit and collection and as Jeff and Hank will discuss in a minute, that is a key area in which we have been and will continue to improve. We have an increase in sales and are feeling confident in our ability to do so, because of the many improvements we are making on how we do business. We are also taking advantage of a huge market and demographics of our competitors being as they are; they can't handle it as well and as profitably as we can. So we are selling more vehicles, but we believe we are doing it in a prudent and profitable manner. All the while continue to increase growing number of new and importantly the repeat Car-Mart customers. Now I will turn to Jeff to go over the numbers.
Jeff Williams: Thanks Skip. As mentioned in the press release, our top line revenues for the quarter increased by 28.9% compared to last year's first quarter, the increase was a result of 25.8% increase in retail unit volume, a 6.5% increase in our average retail selling price, a 10.1% increase in interest income offset by $300,000 decrease in wholesale sales. Same store revenue increased by 28.5% for the quarter as we saw solid sales growth from virtually all of our dealerships and we are especially pleased with the increased volume levels at most of our newer, younger stores including our Texas locations. We continue to benefit from our increased advertising efforts and other sales initiatives and we believe we continue to see benefit from constriction in the credit markets as more good customers are coming to us for their basic transportation needs. It is important to note that our managers are utilizing the various tools we now have in place to help analyze the deals, and we make to ensure that the overall paper we write is of the quality that will result in expectable credit loss rates. Our down payment percentage for the quarter was 6.50% this compares to 7.6% last year. The decrease is primarily due to our 199 down stimulus refund anticipation promotion that went through the month of May, without this promotion our down payment percentages would have been approximately 7.2% for the current quarter. Higher down payments are very important and can have a significant positive effect on individual loan as well as overall [pool] performance. For the quarter our average initial loan term was approximately 26 months compared to approximately 25 months for the first quarter of last year. The initial term was up due to the 6.50% increase in the average retail selling price and 8,952 compared to 8,407. It should be noted however, that the average retail selling price for the quarter was actually down 0.4% from our fourth quarter of 2008, which averaged 8,989. This is the first quarter since October 2005 that we have seen a sequential decrease in our average retail selling price. This decrease is even greater, when considering the fact that revenue from our payment protection plan product was up over $60 per retail unit from the fourth quarter of 2008. The overall price decrease resulted from cost reductions for SUVs and pickup trucks, as well as general improvement within our purchasing department. We are very happy to see the price reductions for several reasons, including as you know, our goal is to buy quality vehicles at affordable terms, so that we can earn repeat business of our customers. Our price reduction increases the affordability for our customer, and lower priced cars carry higher gross margin percentages, again allowing us to keep terms affordable for our customer. As we mentioned in the previous calls, going forward, we do expect to see some growth in our average retail selling price, when compared to prior year results, but at a decreasing rate and we will continue to work hard to minimize these increases while at the same time, ensuring that we continue to provide our customers with the quality and mix of vehicles that they need. Our improved financial results were broad based across almost all of our lots. Our 'no Lot Left Behind' focus is having a positive effect. Each lot has a fully loaded standalone minimum profit goal, which is based on the total investment we have in that specific lot. The profit goals are met only if a lot's profits exceed a minimum return level to the point, where they are generating true economic profit for the company. Our management will continue to spend a significant amount of time working with individual lots to ensure that focus remains on producing real economic profit, which of course starts with selling a minimum number of retail units per lot. The average number of retail units sold per lot per month was up over 27% for the quarter, 21 units to 27 units. We continue to believe that all of our dealerships, but particularly our newer dealerships have capacity to increase sales volumes, GAAP profits and most importantly real economic profits going forward. Interest income was up 10.1% for the quarter, as the average finance receivable balance was up about $37 million, offset by a decrease in the effective interest rate to 11.9% from 13.1% in the prior year period. For the first quarter our gross profit margin was 43.6% of sales, this is up 40.3% in the first quarter of last year and up from 43% for the fourth quarter of fiscal 2008. The recent increased gross margin percentages have mostly resulted from improved results for wholesale sales and increased efficiencies in our retail pricing. We will continue to focus efforts on purchase costs, retail pricing and repair and transport costs and expect to see gross margins around that 43% level on a go forward basis. In the first quarter this year SG&A as the percentage of sales decreased to 18.5% from 21.2% in the same period last year. The 270 basis point positive swing in the prior year demonstrates the significant leveraging opportunities available to us as we look to continue to increase our top line and support a higher revenue base. The overall dollar increase for SG&A related to higher payroll costs, a large percentage of which are related to performance based incentive compensation earned at the lot level. Additionally, there was a $450,000, a 65 basis point increase in non-cash stock based compensation during the quarter. Once again we will continue to review our infrastructure, to ensure we have adequate support for our associates in the field that feel the current volume levels, we have a good solid structure that can continue to be leveraged. For the current quarter, net charge-offs as a percentage of average finance receivables was very low 5.7%, compared to 6.4% for the prior year's quarter. However, collections as a percentage of average finance receivables decreased to 16.4% from 17.1% for the prior year quarter and from 17.4% for the fourth quarter of 2008. We are keenly aware of the importance of our collections efforts, and we will be working very hard in the coming months in this area. At July 31, 2008, our 30-plus past due accounts were at 3.6% compared to 4.1% at July 31, 2008. Our allowance for loan losses remains at 22% of finance receivables at July 31 2008, because of the low level charge-offs during the first quarter of 2009. The provision for credit losses was 20.9% of sales compared to 21.8% for the first quarter of fiscal 2008. We have seen significant improvement in our credit losses thus far this year and are very proud of the efforts from our associates. We do however expect credit loss percentage to tick up some in the next quarter, which is not at all unusual for this time of the year. We saw strong overall cash flows during the quarter reflected in the $12.2 million, a 5.8% increase in finance receivables to $220 million, and the $650,000 in capital expenditures with only a $2.3 million increase in total debt. Our debt to equity stood at 29.7%, and our debt to finance receivables was 19.3% at July 31, 2008. Excess availability under our revolving credit lines was 16.9% at the end of the quarter. We will continue to view our future investment decisions from an economic perspective, and we are very proud of our healthy balance sheet. As we have previously discussed our low leverage and asset based lending agreement have allowed us to remain relatively unaffected by the recent turmoil in the credit markets. Now I'll turn it over to Hank.
Hank Henderson: Thanks Jeff. Well as you've just heard we are producing improved results in all aspects of our business, purchasing, sales and collections. While we are extremely proud of the fact that we're headed in the right direction, we are by no means satisfied. We're well aware that there is still a lot of room for improvement on all fronts. No matter how well we refine our policies and procedures and no matter how many new tools or systems we develop, ultimately it's the effectiveness, by works that are carried out by our people that determine our ultimate success. With that thought in mind we are increasing our focus and efforts on the recruitment and training of quality people, as well as the further development of all of our associates. Much of our future success will be dictated by our ability to hire, train and keep the very best people possible and for that reason we've recently made a significant move within our ranks and I am very pleased to announced that Rob Hay is taking on the new role within our company as Vice President of Staffing and Development. Rob has been with us for a little over three years now; he came to us from Wal-Mart where he had significant responsibilities in both operations and IT. He has been for the past three years building a great IT department here. It's made tremendous contributions to increasing efficiencies in every area of our business and he is now ready to take on his next challenge. Within his umbrella of staffing and development will be recruitment, associate development and human resources. Rob's immediate focus is to substantially ramp up our capacity and effectiveness in recruitment and associate development. We have a great team in place and I have great confidence that under his leadership we are going to see some big things happen in those areas throughout the upcoming year. With regard to our present level of sales, we have mentioned on several occasions, we have capacity to sell substantially more vehicles on our existing locations. Throughout the past year we have been able to realize some increases through better advertising inventory and training and a continued effort to increase sales levels. We are intensifying our focus on the Hispanic markets. So we are adding to our sales department an experienced Marketing Director whose singular focus will be to increase sales to this particular sector. As the Hispanic community is a very significant segment of several of our markets. Now, although we have put forth the efforts in the past, they have been lacking as our past results in this area have not been satisfactory. We know that the opportunities within this market are substantial and we have gone to realize that to fully garner our fare share of this market we must devote the necessary resources to make it happen. We have made that commitment and we are extremely excited about this addition to our team. Another significant addition to our team that we are keyed up about is in the area of collections. We said many times before and actually I believe Skip's already mentioned once in this call. The bulk of our business is about collections and for that reason it will probably come as a surprise to some of you to learn that we have not actually had a Director of Collections or a similar such position. Primary reason for this has been that in this area of our business it is what we do, virtually everyone particularly in the management capacity, has always been involved in collections in some way and will continue to be. However we have come to realize that to effectively monitor collections with the level of intense scrutiny that is required and to continually strive to improve in this area, we need a point person. As a result we are adding a key person to our management staff for that purpose. As with any new position the specific responsibilities and scope of authority will somewhat involve and become better defined over time. However, we are confident that we will see increased efficiencies and improved results with this added focus. Having someone continuously examining the delinquency standings and each lot and taking appropriate proactive action will help to better assure the collections or effectively manage at each dealership. Additionally, it we will be a great benefit to have someone fully dedicated because we are working to improve all of our collections, policies procedures as well as partnering with our IT department to continue to improve our collections, module and systems. The increased focus and the increased accountability in this area should prove to be extremely beneficial. Again we are extremely excited about the anticipated progress, we'll make in each of the areas, I have just mentioned with these three additions. Now again I would like to highlight for a particular region within our company, it has been discussed a great deal on past calls and that is Texas. As we have talked about previously this region has been a challenge for us and I am very happy to let you know, we have made great strides. First quarter of last year, we had a loss of just under $200,000, whereas this year for the first quarter, we had a positive net income of almost $300,000 for a swing of nearly $0.50 million. Now well, there is still a lot of improvements that needs to be made, obviously that is the big move in the right direction and it is very encouraging. We don't intend to continue to break out, region by region for you, but we know that many of you have asked about this in the past, so we thought we would share that with you and highlight that. We also saw big improvement in Kentucky for the same time period as well. I think these are all further indications that many of our younger dealerships are beginning to mature and become more solid producers. As for expansion, this past quarter, we had grand opening at new facilities in both Magnolia and El Dorado, Arkansas. Both of these expansions were the results of these lots growing at old facilities and requiring space to take more inventory and house more staff to continue to grow and we presently have similar projects also underway in Muskogee, Oklahoma and North Little Rock, Arkansas. I am also pleased to announce that we plan to be opening another location in Alabama in the near future, as this next one being in Decatur and this will be our fifth dealership in Alabama. Throughout the remainder of the year, we plan to continue to be conservative on the number of new stores we open as our primary focus is to continue to work to increase the profitability of each of our underperforming dealerships. Presently, in addition to Decatur, our plan will be to open three more stores within this present fiscal year. In summary, I am very, very proud of our team here. We have a great group of dedicated people, who put in the hard work necessary to accomplish what we have. Their contributions are duly noted and greatly appreciated. I am also extremely excited about the new positions we are in the process of adding. I look forward to working with each of these individuals within their areas of responsibility and I look forward to seeing the contribution that I know they we will make. So, that concludes our prepared remarks. So now, we would like to move on to your questions. Operator?
Operator: At this time the participants will now answer questions from the callers. I would like to reiterate that my earlier comments regarding forward-looking statements apply to both the participants' prepared remarks and to anything that may come up during the Q&A. (Operator Instructions). Your first question comes from the line of Bill Armstrong with C.L. King & Associates.
Bill Armstrong - C.L. King & Associates: Good morning Skip, Hank and Jeff. Nice quarter.
Skip Falgout: Thank you.
Bill Armstrong - C.L. King & Associates: How much of your sales came from the promotion gear towards the stimulus rebate checks during the quarter?
Jeff Williams: It was about 15%, and it was all concentrated in May.
Bill Armstrong - C.L. King & Associates: That of units or of total sales or both?
Jeff Williams: Yes both, basically both.
Bill Armstrong - C.L. King & Associates: Got it. The collection rate was down year-over-year. I was wondering Jeff, if you could maybe, or Hank, if you could flush that out a little bit, what is going on there and why that was down?
Jeff Williams: The gas prices, we have seen recent relief on gas prices, but we feel like certainly some of our customers were struggling a little bit there at the end of the quarter, and the 30-plus number is in good shape, but the collections are down a little bit which means we had some kind of hang up there between zero and 30 on past due and some of that's just normal this time of the year. We are not shocked with it, and we did see some nice improvement for the month of August in the right direction. We were a little disappointed in overall collections for the quarter and we are working on that.
Bill Armstrong - C.L. King & Associates: Okay. Then finally this new position Director of Collections, has that been filled yet or are you searching for somebody at this point?
Hank Henderson: We have someone. They have not started with this yet. So that announcement will come a little bit latter, but we feel like we have got through our person, we are extremely excited about it. I think that that's a good addition. We talked about this a little bit and felt that a lot of you might be surprised that we did not already have this in place, but it has always been such an integral part of what everyone does and everyone is involved in. We have seen a lot of benefits over the past couple of years, as I mentioned a time or two, John Sims, our Director of Purchasing has really done an excellent job, been able to really apply best practices with all of our purchasing agents and we have seen a lot of improvements there. I would tell you that this will be very similar in capacity, and we know that we need somebody eating, sleeping, everyday collections, and continually focus on how we get better and also how to transport the best practices when we have one lot producing particularly good results to really dissect that and apply that everywhere. We need somebody to leave that charge as we grow and to prepare for future growth. So, anyway this is a big deal to us. It's not that we have discussed for a long time and I would tell you that this is a significant move for us internally.
Bill Armstrong - C.L. King & Associates: Great, just one quick follow-up. With the collections down a little bit, were there any geographical areas, maybe if that was weak or was there a big difference between new stores versus mature stores?
Jeff Williams: No, nothing that stood out. It was pretty much across the board. Bill Armstrong - C.L. King & Associates Okay, all right thanks.
Skip Falgout: Thank you, Bill.
Operator: Your next question comes from the line of David Burtzlaff with Stephens.
David Burtzlaff - Stephens: Good morning guys and congratulations on a great quarter. Just wanted to ask a few questions here on, I do not know if you can provide any color on how August sales are trending or trended?
Hank Henderson: It has continued to be solid for us. Yes, we are pleased.
David Burtzlaff - Stephens: Okay, and then Jeff going forward on your loss rate, obviously it's now down, two quarters now down under 21%. You think it will go higher a little bit, do you have a good feel for where that may be, will it, do you think it will be under 22% for the year or is that something that is too far out to predict?
Jeff Williams: Yes, we did like we say we do expect it to tick up some, we are not giving any guidance necessary on that number by 22 to 23 is probably, definitely it would make sense for us.
Skip Falgout: Yes I would say David that the band that we are looking at is decreasing. It's a smaller band. There are going to be fluctuations in there we are still trying to get to exactly where that will be. It will change quarter-to-quarter, next quarter tends to tick up a tad just seasonally.
Jeff Williams: We will have a good, third and fourth quarter should be strong again, so there is going to be some variation for the rest of the year but we do expect it to be a little higher than 20.9.
David Burtzlaff - Stephens: Okay and then final question. I know you have said in the past that your losses on SUVs and Pickups have been historically below the company average. Are you seeing anything like over the last few months that may change that focus with gas at $4?
Hank Henderson: I would tell you that as the sales of SUVs and Pickups as a percentage of our overall sales has increased over the past year in just the timing what is out there there's more SUV's on the road so it's more flexible to sell. I would say that as that represents a larger band of what we sell. The difference is not as significant as it used to be. I would tell you that we would begin to see some of those losses, be more in line with our overall losses.
David Burtzlaff - Stephens: Okay, all right. Well thank you very much.
Hank Henderson: You are welcome.
Operator: Your next question comes from the line of John Hecht with JMP Securities.
John Hecht - JMP Securities: Good morning, kudos on the good quarter and thanks for taking my questions.
Skip Falgout: Hi John.
John Hecht - JMP Securities: Real quick, just to make sure I got some of the numbers right. Hank did you say was or Jeff I cannot remember who said this, $60 per unit on average for the guarantee or the insurance product?
Jeff Williams: Yes, that was the increase over the fourth quarter of 2008.
John Hecht - JMP Securities: Okay. Then Hank, I think you mentioned between the last quarter and the upcoming quarters, five new units in Arkansas together, one in Alabama plus three for full year expansion of nine units, is that accurate as well?
Hank Henderson: No, that's not, I am sorry. We are looking at a total of, just over for the year. Say we got one more and we are opening one in Alabama, say three more in total and those will actually be billion across the board, where as one in Kentucky, one in Missouri and then another one in Arkansas.
John Hecht - JMP Securities: Then but you had the couple new odds in Arkansas last quarter as well, right?
Hank Henderson: Those were expansions, those were our Arkansas --.
John Hecht - JMP Securities: Okay.
Hank Henderson: We expand a lot John. We do not account as a new lot just.
John Hecht - JMP Securities: Yes, okay. So, couple of expansions and four new lots. Okay, so then moving on some questions as, can you talk a little bit about sourcing during the quarter what are you finding in terms of your ability to get vehicles either through dealership versus auctions and is it or in a good environment for you to be selective on that in stock inventory sheets you said.
Skip Falgout: As far our sourcing goes it seems to be somewhere as it has been very few from auctions, that's not a big part, where vehicles come from. We do buy a lot through wholesalers and do business with and certainly continue to buy direct new car trades. We have increased some of our efforts and its just very recently or buy from individuals trying to attract more people come in to our stores and they would probably want to sell so we are picking up few more of those. As we have talked about we definitely get some benefit with their SUVs and Pickups, as we felt like there was a quick over correction on those prices really dropped and we took advantage of some of that and of course as Jeff talked about first time and long time we actually see a drop in our overall retail sales price. I have to tell you a lot of that, a lot of result of that are truly just and also increases the efficiency within our purchasing department. Those guys really are doing a good job. So, we feel good about the mix and the price range of the inventory we have in our lot today. So we are well stocked.
Hank Henderson: John, I would add one thing to it. If you look at our inventory turn, its, we have increased the number of cars on the dealerships and we would also continue to turn our inventory about 12 times a year. Is that right Jeff? 11-12 times a year so, even with increased stock and some SUVs and those things, they are turning well.
John Hecht - JMP Securities: I wonder if, could you talk what was the mix in terms of the types of cars you sold this quarter similar to the prior quarter that you are seeing that the popularity of SUVs amongst your customer base increased just given that they can finally afford an SUV?
Skip Falgout: I would say, there was not any big change in the mix.
John Hecht - JMP Securities: Okay. Then the last question is, maybe Skip if you can provide us an update. I know you, you have put in an underwriting system. You did not necessarily automate it, but it’s going to assist a lot and it’s going to provide some predictive elements to understanding potential credit behavior. Is there any update on that and how is that performing relative to expectations?
Skip Falgout: Well, I think, it is a thin place at all the lots, and we are getting some good results out of it and good acceptance. Jeff, you might want to speak a little bit more than I can about it.
Jeff Williams: Yes. Its now fully employed at all lots and it basically gives the lot managers a feel on the front end on the overall quality of the paper and then we are scoring all accounts on the backend for the Managers and the Area Managers, and the Vice Presidents to use, as they manage their businesses, just good data on scoring and distributions within the scoring ranges by lot, just a real good tool for our folks in the field.
Hank Henderson: Yes, John probably on the initial big impacts of it as, as Hank was telling about this morning, is that we are seeing fewer marginal deals. We are able to minimize and also, we have more turndowns at our dealerships, which is a good thing as our sales are up and turndowns are also up, which means we have to be more selective in the deals we make and hopefully more of that those percentages will be the better deals higher scorings deals and fewer that are in the red zone. That may be in the marginal deals. It's a real positive for us. It will only get better over time.
John Hecht - JMP Securities: Okay, great. Thank you.
Operator: Your next question comes from the line of John Carter, who is an individual investor.
John Carter: Hi, thanks for taking my call. I had two questions. One is the follow-up on the first question which was, you mentioned related to the rebate checks that, 15% was related to those checks during the quarter. I was confused in terms of this that 15% of the sales came from the consumers providing you the rebate checks, or was it 15% of your marketing during the period was targeted towards the rebate checks?
Jeff Williams: 15% of our sales were 199 down, stimulus refund anticipation sales.
John Carter: Okay. Now, as related to the rebate checks again, is there any feel for outside of the 199 kind of offering, directly targeted at the rebate checks? How did the rebate checks coming in, in May, June and July, roughly 1,500 per consumer kind of impact your business during the quarter, overall, outside of the marketing and the promotional piece?
Hank Henderson: Well, I would tell you, it was not as significant as we had anticipated or hoped for. It certainly did not have nearly the impact that would stay during the traditional income tax return time. So, as far as with regard to sales and collections it was not nearly so significant.
John Carter: Thanks. Now, my second question is related to the average down payment. For the quarter it was at 6.5%, that's down from 7.6% year-over-year and over 7% sequentially. What is the reasoning for that? Is it related to the promotional side? I am a little bit surprised by that, given the influx of cash in consumer’s pockets during the quarter.
Hank Henderson: As I said, we anticipated a little more benefit from that. We would have expected to have been higher too, but obviously in the spring time more customers have more cash and those were better. So the combination of, as Jeff mentioned earlier, a lot of things beginning to tire, gas is up, grocery is up, and also we had the 199 sale that brings it down. So, in the end we just did not see entries that we had hoped for.
Jeff Williams: We did not sell nearly as many cars last year either. So, to get more sales, you maybe had to go down especially on the repeat customers, a little lower on the down payment this quarter.
Hank Henderson: You look at it. If you take out the 199 to your 7.2%, and so sequentially, we look at it, it matters, but its not as big a deal as you might think, it is not something we overlook, do not get me wrong, but if you take those out of your 7.2%, I think we had a good quarter with repeat customers where we traditionally take lower down payments. I mean they score higher for other reasons typically. Typically it will be a lower down payment on the repeat customer.
John Carter: All right. Now, given some of the things you said in terms of the higher price, gas prices and tighter conditions for your consumers, collections was down during the quarter, down payments were down during the quarter and yet your allowances were the lowest level they have been in quite some time on a year-over-year basis. How is that calculation made, when I am trying to think about the business, is it, are you looking at down payments or you are looking at collections or is it just a number that's produced by some other calculation?
Jeff Williams: We look at all those factors. Of course the 20.9% credit loss amount is simply the losses we took during the quarter as a percentage of sales, so you do not get the full story from that percentage and we try to supplement that story with your cash collections and your past two numbers and we have 40,000 accounts out there at various stages of their lives so we are analyzing all this data at the same time and establishing our quarter end reserve at 22%. So, yes down payments are very important, collections are important, average percentage of finance receivables current is important and all that's being looked at continuously from all angles.
John Carter: Okay, and then, this has been great, I will just ask one other question and get off. With the entry into Alabama what has the company learned given its entry into Kansas for a short period of time for entering into new markets. The question is, Kansas did not work, why was that, what were the lessons learnt and then how are you using that move into Alabama?
Hank Henderson: I would say, I think Alabama is attractive to us for a number of reasons. One is, it is situated very similarly to the way Arkansas is. We have a lot of towns that fall into the size that where we want to open a store and we are also at close proximity to each other and I think that allows us to provide a little more intense onsite oversight direction help and whereas I would tell you that what you mentioned, was a little further removed, I did not get much of the oversight as so these in Alabama will receive. We are generally excited about Alabama we placed ourselves, pretty methodical slow about how we have opened the stores there making sure that we get each one has their feet under them as we continue move into open the next one. So we anticipate this to be a very good state for us.
John Carter: Now with Kansas where there any regulatory reasons why Kansas was not a good candidate and Alabama is?
Hank Henderson: Those were not the most, more significant reasons for us.
John Carter: Okay, okay, thanks for taking my call.
Hank Henderson: Anytime.
Operator: Your next question comes from line of Dan Furtado with Jefferies & Company.
Dan Furtado - Jefferies & Company: Thanks for taking my call guys and congratulations on a good quarter. I just wanted to try to get handle on, are you seeing any material differences in vintage performance from especially the '08 stuff?
Jeff Williams: Of course we are tracking the various accruals of loans, monthly and quarterly and so far loans placed in 2008 are performing well.
Dan Furtado - Jefferies & Company: Okay. So, no aberrations everything seems to be going according to plan.
Jeff Williams: Yes.
Dan Furtado - Jefferies & Company: Excellent and then the other question when you said north of the down payment was 7.2% and that's normalized for the sales promotions that just removing the 15% of sales done at 199 downs.
Jeff Williams: Right.
Dan Furtado - Jefferies & Company: Okay. Then one final, it's a clarification question. I do not know if this borders on guidance or not. You are saying that about 15% of the units sold in the quarter was due to this promotion, which would lead a 6,250 would be the number of units sold without this promotion. Can I think of one-third of that 6,250 as a monthly run rate or is my math going to lead me astray if I do that.
Jeff Williams: The 199 down it does not mean we would not have got no sales.
Hank Henderson: Or at least some of--
Jeff Williams: Some of them anyway.
Skip Falgout: Obviously, it's a point of run in the promotion we surely picked up some extra sales, but I would not say that it was the entire 15%, we would have got some lows.
Dan Furtado - Jefferies & Company: Got you, okay. Those were all my questions. Thanks again for your time.
Skip Falgout: You are welcome.
Jeff Williams: Thank you.
Operator: Your next question comes from the line of [Brendon Ozlin] with Hayman Capital.
Brendan Ozlin - Hayman Capital: Hi, guys. How are you doing today?
Skip Falgout: Fine.
Brendan Ozlin - Hayman Capital: Thanks for taking my call. I think most of my questions has been asked and answered, but just had a quick follow-up on the percentage of current receivables dropping from 84% quarter-over-quarter to 81.6.
Jeff Williams: Right.
Brendan Ozlin - Hayman Capital: That drop is 2.4% versus the slight uptick in 30-day delinquencies like where is the delta the 1.9% coming from. Is that all 2 to 30 day delinquencies?
Jeff Williams: Yes. It is.
Brendan Ozlin - Hayman Capital: Okay. There is nothing in the later stages, like once its, its not any cars would have been picked up for [reprice] or.
Jeff Williams: Well, there maybe few, but no, its mostly that the delta between the two percentages there.
Brendan Ozlin - Hayman Capital: Okay.
Jeff Williams: Time period.
Brendan Ozlin - Hayman Capital: Okay. Then on the collection side, we have already talked about that a little bit, but I was wondering, how is it possible to quantify how much of the drop in collections was attributable to modifications of loans, or deferrals of loans. However you want to classify that?
Jeff Williams: Yes, that is possible. We are not discussing that deferrals externally at this point, but that's certainly a portion of the decrease. Yes.
Hank Henderson: Brendan, that's part of our businesses, is refinancing certain number of accounts, we need to keep track of them, we always do and monitor closely with, that could be part of it, as you [reprice] the folks that, when we reprice someone, we obviously believe they are going to continue to pay in the refinance fashion. We do not want to refinance I mean, a loss, which you know you are going to take, but it is somewhat in there.
Brendan Ozlin - Hayman Capital: Sure, is that a number though that you would consider making public or reporting going forward just to, it tends to be measure of some early trends in credit performance?
Jeff Williams: Well, in the dollar, if you go from $17.1 to $16.4, it's about a $1.5 million on a $220 million portfolio. So, it's a big percentage drop in and a 1.5 million, when you consider the gas prices in those accounts that are just slightly past due and it's not as dramatic as it appears.
Brendan Ozlin - Hayman Capital: Okay. Well I appreciate and congrats again on another great quarter. Thanks for taking my call.
Skip Falgout: Thank you, Brendan.
Operator: Your next question comes from the line of Bob Bridges with Sterling Capital Management.
Bob Bridges - Sterling Capital Management: Good morning.
Skip Falgout: Hi Bob.
Bob Bridges - Sterling Capital Management: Can you break out percentage of your pre-tax or percentage of your EBIT that's your earning in Arkansas in the quarter?
Jeff Williams: No, we do not. We did indicate that 55% of our sales are basically in Arkansas at this point.
Bob Bridges - Sterling Capital Management: Okay. Can you break out the interest rate mix that you are collecting from customers. I know that Arkansas is structurally different due to the laws in the state. Do you have that number for what you are earning in the Arkansas and what you are earning in other states?
Jeff Williams: Yes, currently in Arkansas, we are captive 7.25 on new loans, but we do have some loans that are older in aged. So they are a little higher rates and then in the other states we were little below maximum rates allowed, but probably closer to 17% or 18% on a blended basis.
Bob Bridges - Sterling Capital Management: Now it does backdrop, you indicated you are going to put another store in Arkansas sometimes this fiscal year given the opportunity to grow your earnings base with capital you employed at a higher rate in the states outside of Arkansas. Can you explain the rational for why you would put another store in a region that's already seemingly mature?
Skip Falgout: We actually -- well as you mentioned, we do very well in Arkansas, and although we do have a much lower rate in somewhat over a long period of time. Notice very well, our repeat business with lower rates. The good repeat business, faster repeat business, learn to sell to lower credit losses. So we realized say definitely a lot of a difference there. The particular story I have in mind, although we are not ready to give you the exact location. It's in an area where we already sell a very large number of vehicles and the area is growing in order for us to continue to get our fair share of the market here. We need to add another store. So we feel confident, it's a solid decision for us.
Bob Bridges - Sterling Capital Management: I think Jeff, you referenced earlier in the call that gross margin trends in the 43% level are what you are seeing going forward. Could you may be unwind a little bit and take off some of the reasons why you think that's a durable level in the foreseeable future?
Jeff Williams: We had some negative affect last year mostly from the wholesale sales. Our sales levels were down and our repos were not up, so there was an artificial reduction in our margin for most of '07, and on end of the first part of '08, and now that we come out of that we have had three, two and half, three, four quarters where we are right at that 43% rate, and we have made some pricing efficiency adjustments and some other changes. So we feel pretty comfortable with that number on a go forward basis.
Bob Bridges - Sterling Capital Management: Maybe some of the other changes would also be the impact as appeared changed sourcing structure over the last couple of years. I assume that's contributing as well.
Skip Falgout: It's a lot of factors, I mean more efficient purchasing, you are right, two years ago probably a percentage of auction purchases where higher than it is today. Significantly, that makes a difference in the cost. When you sell a vehicle that averages wholesale costs, let's say in the $42, $4,300 range, a $1 or $2 here or there really adds up. We have been really fortunate and worked hard in our purchasing environment to take advantage of some efficiencies where we can, and localized efficiencies where cars are cheap in one way or the other and again a few dollars really adds up on a percentage basis.
Bob Bridges - Sterling Capital Management: Over the last year, year and a half you put in this tightened credit profiling and tracking system in your stores and in the last couple of quarters we have had the macro economic effect of maybe customers who were not traditionally buy here, pay here, showing up in your stores. Are you able to quantify in any of the data that you are collecting from your customers who are coming in to come to analysis since yes you have a inherently higher credit quality customer, an aggregate that you are servicing now or is that something that's not really something you can quantify?
Hank Henderson: We could not tell you exactly what percentage of our recent sales we would describe as that customer who has come down in to our market that modest previously had conditional financing. We did know that we are seeing improvements pretty well across the board with the story and that's a blend obviously as we just make better decisions and call out some of the weakest deals. That's going to bring some of our numbers out and at the same time we pick up some number of other customers at the end. It's not like the averages of income and various other points of scoring. We feel like we are doing better and probably with the deals, but I would not tell you. There has been, its not a radical change, we still sell basically to the same people.
Bob Bridges - Sterling Capital Management: Okay, great, I have got a couple more; I will jump back in the queue. Thanks.
Hank Henderson: Thank you Bob.
Operator: (Operator Instructions). Your next question comes from the line of Peter Reed with C.L. King & Associates.
Peter Reed - C. L. King & Associates: Thanks, good morning. I was just trying to get a sense, you have just come off with a couple of really impressive quarters of same store sales 30%, 28.5%. Is there any way to get a sense of how the tax refund checks and how the lack of financing a traditional dealer has impacted that a bit to put a contribution to that comp from those factors or that's something you can not really quantify?
Skip Falgout: We ask that question ourselves sometimes, Peter. Can we quantify those things? Really the tax stimulus thing was, it was marginal as certainly helped it was not significant and as Hank said earlier near significant is the tax refunds in the third and fourth quarter, but it does, it has helped and discussed for coming to our level, its hard to quantify I think a lot of things we have done in the last year are attracting more of these customers and but its always anecdotal that we believe we are getting better customers. Some of the data we are getting in our profile again as blended but would indicate slightly higher incomes, more trade ends, some prior credit, those things would indicate better customers and hopefully at some point we would be able to be more specific and periodically about it, but it, it is hard to do right now.
Peter Reed - C. L. King & Associates: So its really more internally generated type of response, is it fair to say we can look to continuation of that type of growth, I know at some point you are going to anniversary some really tough comps but it looks like you are --
Skip Falgout: If you look historically, we have been same store revenue growth in the 8%, 10%, 12% range, obviously this first quarter we are comping a pretty slow quarter from a year ago.
Peter Reed - C. L. King & Associates: Right.
Skip Falgout: We are continued to see historic levels of improvements when that necessarily quite as dramatic as this one.
Peter Reed - C. L. King & Associates: All right, but its sounds like you are just doing something better that's bringing more people on the door that are buying, so its not fair to say that you are going to accelerate of that historical levels when you are more comfortable just assuming that same historical --
Skip Falgout: Well, we will always try to do better again remember the key here is collections.
Hank Henderson: Yes, exactly. I would point at the say time we are making efforts to sell more cars as we talked about. We have done some more advertising, we feel like we are doing a better job with our inventory mix. At the same time, we are recognizing the need to tighten our (inaudible) so you got a couple of opposing forces there is, so.
Peter Reed - C. L. King & Associates: Right.
Hank Henderson: So, I think we can still settle at historical levels.
Peter Reed - C. L. King & Associates: Okay, all right. Thanks very much, congratulations.
Jeff Williams: Thank you, Peter.
Operator: You do have a follow-up question from a line of Bob Bridges with Sterling Capital Management.
Bob Bridges - Sterling Capital Management: On the inventory mix, can you with the higher mix of SUVs and trucks, would you characterize that as opportunistic or way of driving as if there is if we turn back to $4 gas and higher do you have any risk from buying too much to serve the demand that you have gotten now?
Skip Falgout: Yes. If we curtail that somewhat everyday we review where we are, and we did feel a lot we were getting a little bit heavy on those. We still have a good collection. We still have a pretty number of customers that want those and they do not and has not they were represented the majority of what we sell, so we started good collection of those. Yes we have tightened up try to be disciplined about that to make sure whether we have not gotten well carried away with better sales, so.
Bob Bridges - Sterling Capital Management: Did you recall in the quarter what percentage SUVs and pickups were of your sales, can you break that out?
Skip Falgout: No, we did not.
Bob Bridges - Sterling Capital Management: Okay. You would say it's in line with history and maybe it's a little bit higher just due to the opportunity of buying these same people?
Skip Falgout: Yes, it's inline with recent history, yes.
Bob Bridges - Sterling Capital Management: Okay. Just getting back to the headline on the call, it's very impressive that the sales were able to increase so significantly given the same store basis you had over the last several quarters. Can you characterize how much of that might be due to opening the floodgates on some of your credit underwriting and how much of it is demand driven?
Skip Falgout: Actually to the contrary, I would say, I think we are actually tighter on underwriting during this quarter than we were a year ago. That's our intent. As I said, we have invested pretty heavily in our advertising. We have really worked hard. We are still straining, doing a better job, maintaining a good inventory mix selection. I think those things combined and again, we do not know how many, but we know that we are in a time, where the buy here/pay here does become more of a viable alternative for some folks, who previously may not have been. So, I think all those things buying it's, we have been able to raise our sales and be disciplined on our underwriting.
Jeff Williams: Even with the great quarter we had, we still averaged 27 retail unit sold per month per lot, which with our newer, younger lots, there is room to continue to ratchet that number up some and that's the focus of our no lot left behind efforts this year.
Bob Bridges - Sterling Capital Management: Maybe that's when I was driving what I mentioned flood gates opening, I just recalled may be about four to six quarters ago there was a deliberate effort on your part to curtail the volume of sales that were coming out of newer less mature lots while you were going through your tighter underwriting trending, creating the guidelines and so forth and I look at this, large sales growth number and I am wondering if we are on the backend on this education implementing guidelines phase and now some of these managers are encouraged and able to generate higher volumes because they have got more of a playbook, so to speak to following and I am just wondering if that's part of the higher sales growth?
Hank Henderson: No not really that would not be the case, and I would tell you actually as far as our overall scoring assist in all that, that was referred to it, we have been pretty methodical about how we have roll this out and it's only been very recently that it been fully deployed throughout the whole company. So this is still a very we been talking about it a little bit because we have been working on it but its still relatively very new for many of our stores.
Bob Bridges - Sterling Capital Management: Okay that's helpful. Thanks a lot.
Hank Henderson: Thank you, Bob.
Operator: At this time there are no further questions.
Skip Falgout: Okay, well thank you very much everyone. I would like to point out that our annual report and proxies will be out next week Jeff I believe should be in the mail and you will be receiving those shortly. We will have our annual meeting of shareholders here in Bentonville on October the 15th and certainly everyone on this call and others are invited to attend, and again the annuals should be in your hand shortly. We do thank you for your time today and we are, as Hank and Jeff have said, very pleased with this quarter and we will continue to work hard to continue to improve our results. Thank you very much.
Operator: Thank you for joining today's America's Car-Mart first quarter 2009 conference call. You may now disconnect.